Jan Secher: Good morning, everyone. And welcome to this Full Year Results Presentation for Agilyx. Really pleased to have you all with us. I'm joined here today by Russ Main, our Interim CEO and CFO of Agilyx and as well with Joe Vaillancourt, who is our CEO of the Cyclyx business, our 50% joint venture and we thought it would be valuable to have a Joe with us today, because that's part of the business that we're focusing very strongly on. So we'll come back to that in a minute. I'm Jan Secher, Working Chairman for Agilyx. So very welcome. All right. We'll go straight into it. We have a presentation of about approximately 20 minutes, I would imagine, and then we're going to be opening up for Q&A after that. So if we go to the first slide, and I think, Anna, you are driving the deck. Thank you very much. We'll pass that one and on to the next one. So looking at our strategic focus as a company. We see a very clear shift in the market where there is a strong focus on the feedstock, both availability and ability to collect and sort and prepare the feedstock for the different type of conversion technologies, be it chemical, which we obviously are very much involved with, but also could be mechanical recycling of different sorts. So the overall shift and focus in the market is very strong towards this part. We certainly listen to those trends. We started this several years ago. Joe, you were instrumental in initiating this initiative to focus on that and the capitalizing on the experience and knowledge that Agilyx have built up over almost 20 years in the business and collecting a lot of data and understanding for that market. So gradually, we have then built up Cyclyx to what it is today where we are focusing on building so called, Cyclyx circularity centers, CCCs, where we are working with both collecting and driving collection in the communities, so that we get our hands on the plastics and secondly, then sorting it and preparing it in such a way that the downstream converter can make good use of it and meet the specification of their product. So that's really the uniqueness of Cyclyx that we have an end to end solution from very early identification of the chemical compositions of the plastic to being able to deliver a feedstock that is usable for by the converter. And I'm sure, Joe, you will come back a little bit more to that in a minute or two. But then, of course, also thirdly, on the slide, we have the conversion business. We see that the chemical industry is going through a rather difficult time right now, quite a bit of headwind in general. Nevertheless, if you look at the demand for conversion of plastic into recyclable product that is huge in comparison with the capacity available in the market today. And there is no silver bullet in this sense. There's not one technology and one avenue that will sort this problem. There's a multitude of solutions that will need to be put in place and collaborate, and work side-by-side in order for us to really address the challenge and at the same time, a huge opportunity. And, we certainly see that there is a lot of interest for chemical recycling in our particular conversion technology where we have been focusing in a very specific part of that market, the styrene market where we have a very attractive solution from waste to product. In other words, we do not only supply a pyrolysis oil but also a purified feedstock that can directly be used in the buildup of the subsequent product. But we're also -- have -- we have very strong technology for more mixed waste plastic applications, which I think, Russ will touch upon in a minute when we talk about the conversion technology. So overall, I think we are in a very good position when it comes to our strategic focus, our early understanding of the upstream need, which is really a key to the door and an enabler for all of the different conversion technologies downstream where we have one very attractive solution to offer to the market. So the strategic focus lies really in those three points, and colleagues will take us through the more specifics on that. And also, Russ, you will touch upon the financials towards the end of the presentation and then we'll go into Q&A. So just wanted to sort of give that overall highlight of our strategic focus. And handing over to you, Russ.
Russ Main: Yes. Thank you, Jan. And good morning, everyone. Just wanted to let everyone know also that just prior to this call, we did issue our 2023 annual report. So very proud of that document and look forward to having you all read through the document. And so how we'd like to proceed forward is, well, I'll hand it over to Joe to kind of talk about some of the highlights with the Cyclyx business and then I'll take it from there to go through the conversion update, business update and then start to talk through the financials and then the executive summary at the end. So Joe, why don't you take it to the next slide?
Joe Vaillancourt: Great. Thanks, Russ. Thanks, John. Good morning, everybody. Really pleased to be back with you all. Happy to be giving you a Cyclyx update here. 2023 was an exciting year for us. It was lots of notable things going on, many of which we hadn't started to talk about till the end of the year. Obviously, everybody already knows, but in Q3, we completed an investment, incremental investment from Exxon and a new investment from Lyondell, totaling $135 million into Cyclyx, which was primarily targeted to build out the first CCC, which they both have the offtake to. So shortly after that, we got through the final investment decision to actually progress to that plant. So Q4 was sort of notable for the development of the CCC, a lot of work went into getting those transactions to that point. The first CCC is targeted to be commissioned in the early part of '25. And notably, and this is sort of at times misunderstood, but the CCC is designed for both advanced recycling, which anchors most of the volume through it but also has been developed to provide mechanical recycling product pathway recycle it as well. In addition, in '23, we fully commissioned the circularity lab. This is notable because this really helps advance what our core competency is. We have a purpose built lab. It actually tests all new sources of material, certifies it for CCC plus and helps build out our chemical database and helps enable the advancement of the AI modeling, which is currently in development, but that ultimately will run the CCC from an efficiency perspective and we'll talk a little bit about what the accomplishments of that lab has been in '23. But for us, that was a notable infrastructure development activity that came to light. And then lastly, on our landfill deferral waste plastic programs, we're really happy to start talking about the results of the demonstrations that we're doing and the development of the commercial activity. So we had started a residential program with the City of Houston, fourth largest city in the US. Notably, it was all plastic deferred at the house to be dropped off by residents. That program has resulted in very many successful metrics that we'll talk about here in another slide. At the same time, we have notably 10 commercial industrial take back programs working with large companies attracting their waste and the waste of their commercial partners to create closed loop supplies for the CCC. So when we think about the accomplishments of '23, there was a lot of infrastructure development poising us for the substantial growth that is undermining and underpinning the CCC development. Looking forward, we had recently announced the commencement of CCC2. So there is a feasibility set of activities ongoing with two. Our expectation is that FID is targeted for mid '24. With those two progressing, we're somewhere between 27,300 KTA of material within the next 18 months that we're looking to source. As part of that, we've expanded our reach and our relationships internationally to start working with companies to source material and to supply material in different European markets. So we'll be talking about that here in the coming quarters. And then just notably, our membership has within it already members who have stated demand through 2031 around 6 million tons per annum. And just to give you some scale that represents about 60 CCCs in the next five years or so. So we've got substantial demand already embedded in our program. And we're advancing the first of kind facilities with some great partners. Exxon and Lyondell have been excellent partners and are really leaning into the leadership role in advancing the advanced recycling industry. Next slide, please. So we'll talk a little bit about some of the programs. I mean, obviously, Jan had opened up that the feedstock really is becoming, the limiting factor in advancing this whole sector. We certainly see that at Cyclyx, our membership still remains around 49 members but the level and broadness of the interest of those members and its diversity is expanding pretty rapidly. We had initially focused in on the downstream petrochem companies where we spend a fair amount of time, getting them comfortable with our technical efficacy and our capabilities in order to create the demand, which allowed us to put all the other programs in place. Now that it's happening and now that others are looking to advance their own plastic circularity programs, we're seeing tremendous amount of interest from other consortium members in retail, brand owners. There are certain industries around ag and automotive and healthcare who we're working with very actively. So we will be retooling our membership structure. As you know, we have a paid membership approach today. We may tier that and bring in other types of membership classes. We'll talk about this in a little bit. But about 80% of all the members are actively working with us to source material at this point. So it's a really exciting development that has increased in 2023. All of that surrounds sort of our mission brand. So you've seen us reference this before. We refer to our landfill diversion programs generally as 10% to 90%. It's a mission brand where we're -- our audacious goal is to increase the recyclability of plastic waste from 10% to 90%. So really what we're trying to do here is work with consortium members to source material going to landfill and then using our technical capability and new product pathway group to find new recycling options for that plastic. And so, ultimately, it's the 10% to 90%. Anything you see 10% to 90% related to, it's our attempt to get material out of the landfill and into our system. Once we have it, the material will be channeled to circularity centers. We've talked about this a lot. Notably, both in terms of scale, these facilities are many times larger than an average secondary plastic recycling center. This one has been fully designed and fully funded by Exxon and Lyondell. The construction is underway. And as I mentioned earlier, commissioning will start in Q1 of '25. We are actively now sourcing material from our different memberships partners and we're building inventory in order to have sufficient supply once we start that facility up. Notably, the Houston program, and I'll talk a little bit about this. I mean, this is one where this is unique in all respects. This is a program where we're actually asking residents to put all plastics, not just the typical single stream 10% of high quality plastics in a bag receptacle and then drop them off at a drop off location. In a very short period of time, we have seen a 2 times to 4 times per household increase in the volume of that plastic. We've been testing that throughout 2023 and have been very happy with the results that we're seeing from that. I don't want to speak for the city but the city is happy with the results. And so we're now expanding that program throughout Houston. We're increasing the drop off locations initially from one to eight more drop offs. And we're currently active in 22 schools with discussions ongoing to expand into all 274 schools. So this is a program that Houston is helping lead for us. It is a template on how we look to expand. This program has been built for the US but it also is actually very appropriate in other geographies where there are EPR programs and things. So this is a program that is expanding pretty quickly. When we think about performance, you know we had a modest increase of revenue year-over-year. There's a little bit of a mix change between our offtake sales that we are providing our offtakers through tolling and some of our event driven technical predevelopment work. But if we sort of look at what we've done in 2023 from a metric perspective that allows us to feel really comfortable and excited about the growth before us. We now have 300 feedstock suppliers that we commercially interact with. We've actually certified 2,700 additional sources of material. They've all been tested and certified and most of that is appropriate for CCC development. To do that, we've had to actually undergo 10,000 characterizations. So when we talk about our chemical fingerprinting, the fulsome testing of waste plastics we've done 10,000 tests, which resulted in over 200,000 test results and millions of data points. So our core capability of our chemical fingerprinting is starting to scale pretty significantly. Next slide, please. I'll talk a little bit about -- we haven't really provided the market with much insight and transparency to what a CCC actually generates. And so here is an illustrative table to give some insights into the economic performance of CCCs. We chose to fixate on the cash flows just in case there was some sensitive pricing that might be involved for our partners. But you can see what we've done is we've stacked serially the deployment of CCCs. Number one, which is fully funded by Exxon and Lyondell, was actually done so with sort of a cost plus approach for them taking the first of kind risk. There is some modest profits that come out of CCC1. You'll see that CCC2 and onward have higher pricing structures and some escalators. And that really is driven by the fact that there are increasingly third party allocation sales closer to market pricing over and above what Exxon and Lyondell would take. You can see that in addition to the implied profit for CCC, there's also a contribution and overhead allocation of 6.6 million from each facility to the Cyclyx overhead. So over time, you have a decreasing cost structure there. We don't really talk about it here. We're in various discussions on financing. These series of assets, we have a range of discussions ongoing to try to see what options make most sense for the Cyclyx shareholders. But they range. I mean, we have received very favorable feedback from infrastructure investors at the project level for things like debt where Cyclyx can provide its own project equity that spins off within very short period of time within CCC2. We also have, on the other end of that, non-dilutive capital coming in from capacity reservation payments as well. So more to come on that. But this will provide some insight into the economics of the CCCs. If you go to the left side of this, this just starts to speak to the growth potential. So I referenced this before. But the graph on the left is actually a cumulative bar chart of the demand per year stated within our current membership, which equals up to about 6 million tons per year in 2031. Currently, within the membership, we've got nine petrochem companies and two logistics partners interested in offtake and/or contributing in kind to the development of CCCs. On the offtake side, those interest ranges from 25% to a 100% offtake. So this is sort of a unique situation from my vantage point where we actually have the demand. We have anchor investors who are financing the risk in the early stage projects. So from my perspective, the growth potential is very exciting. With that, that concludes my update on the Cyclyx for 2023 and forward looking. And would hand it back to Russ. Russ, you're on mute.
Russ Main: Thank you so much, Joe. Next slide, please. I wanted to kind of start to talk about the conversion business now. And one of the things just for this slide is important to understand is that the styrene market does still present a significant opportunity for the Agilyx conversion business. As you can see on the left hand side, the market is quite large at 54 billion, the global market for circular styrene. A lot of mandates are up and coming for recycled content and some of the key targets, such as Michelin and LEGO and others, are going to be mandated with a 30% recycling rate. So that helps the industry and will help, at the end of the day, the conversion business to proceed forward. There's still a lot of vital uses for styrene. And you can see here that if to meet the full demand similar to what Joe mentioned on the Cyclyx side, it would require up to 270 plants to be deployed globally in order to meet the demand that's coming in the future years. So this market is very strong still. There's a lot of legislation out there trying to fight the market, of course, but it is a very strong market and we believe a good area for the Agilyx business to be competing in. Next slide please. I wanted to bring everyone up to speed on some of the things we're working on from the Agilyx conversion business. We've made a lot of progress this year on a lot of initiatives, and I wanted to kind of walk you through those. Even though you know we are experiencing some of the headwinds in the market, as Jan mentioned, we are making, I believe, very good progress in developing our pipeline. We've made great successes this year in the Toyo project as we've talked about in the past. During this fiscal year 2023, we completed the construction and fabrication of the unit in the US and then shipped the unit to Japan where it is currently going through the final commissioning phase. And we anticipate that that will be completed in May and the handover to Toyo Styrene will happen during the month of May. So the project is running well. It's -- I know that Toyo Styrene put out some literature on that and some film, and I think we've shared some of that publicly. So quite excited about what the team has been able to accomplish with that project. Also in our project pipeline, we completed two additional FEL3 development phases for several projects. So now we have three projects in our pipeline that have been through the FEL development phase and are now in with our clients for further discussions on license and moving those projects into construction. So this fiscal year alone we completed two of those and that's very exciting news, and we're continuing to work with our clients to move those projects into the next phase of licensing and construction. TruStyrenyx partnership is really start into yield some good results this past fiscal year. They've enhanced their emphasis to their business development teams globally to present this combined opportunity with Cyclyx, I mean, with Agilyx technology and TruStyrenyx distillation technology. So it is a first of a kind partnership and we're starting to see some leads really starting to come through the pipeline that is coming from TruStyrenyx. So we are working on a couple new projects where we hope to go into license discussions shortly. So that's really positive news that this has started to take traction with the TruStyrenyx partnership globally. We were successful, as everyone knows, in the private placement toward the end of in August of -- I mean, in October of 2023. And we, as a management team, have really focused on the conversion business to focus on cost reductions. We've made significant changes to the team and to the cost structure in late 2023, which we'll start to see the benefits of that lower cost in fiscal '24. And we are really focused on ensuring that we have the proper resources to manage our pipeline, but we are well structured now to be successful and cost effective going forward. So a lot of hard work done there and the team has really stepped up. A lot of folks have taken on additional responsibilities. And I think we've rightsized the organization to our current pipeline and the opportunities we see, so we can be successful as we bring on new initiatives in the organization. Next slide, please. A couple of the highlights as well. We talked about Toyo Styrene and we anticipate that starting up in May. TruStyrenyx, again, has helped us to initiate some new discussions with new exciting customers. And so we feel very good about that. Our project pipeline, this is something that I wanted to -- we've really focused on nine projects in our pipeline, which we believe have the potential to move forward. Not to think that we're not focusing on other projects, but these nine, we believe, are the ones that we're going to focus and try to advance forward. And as I mentioned before, three of which are through the FEL3 process. So that's a lot of work done by the teams and our customers to get to that phase. And that's what we're going to continue to develop and also using TruStyrenyx to bring in new opportunities in the styrene market to advance license discussions with several opportunities that I just mentioned. And again, we've reduced OpEx quite considerably and we have a good balance now between our cost base and what we believe will be the top line growth going forward in fiscal '24 and '25. We'll talk a little bit more about the financials in the coming slides, but Agilyx standalone 5.9 million for this fiscal year, down a little bit from the 7.4 million of last year, mainly due to less Toyo Styrene revenue as we started to complete the construction phase in 2023 versus the prior year. But we did have some decent revenue coming from our FEL3 process and some commissioning revenue for Toyo. Next page, please. As far as the financial statement presentation, you're going to see, when you look at the annual report, it's very differently structured from the prior. So the difference being when we went through the transaction in late October and Agilyx's ownership interest was reduced from 75% down to 50% for the Cyclyx JV, it was determined under IFRS rules that we would be reporting our results as discontinued operations for Cyclyx. So what does that mean? It means that the net results for Cyclyx will be reported in our financial statements under one line item. And the good news is though still Cyclyx will be -- does still meet the criteria as a reportable segment. So in our financial statements, you'll see a lot of information on the fiscal year for Cyclyx in the segment disclosure. So the information will still be there, because it is a reportable segment and you can take a look at that and kind of compare it to prior year results, because we do have that in there currently. But one thing I'd like to mention is Agilyx being a technology company, during the course of this, we did book a gain of $118 million, which is really the value created in the IP that we contributed to the Cyclyx JV. So it really shows the hard work and we're finally seeing the benefits of that work and all the development that's happened in our 18 plus years. That gain is -- the net gain of $118 million, represents the value of that contributed IP to the Cyclyx organization. So Agilyx, as a technology company, is really starting to show the value gained from the work that's been done in the past by the team. Next slide, please. So as a summary, we took a look at -- you can see here the revenue, as I mentioned before $5.9 million versus the prior year of $7.4 million. We did have a good increase in gross margin, which is great news as the business scales and we're able to really charge our customers good margins. We see that continuing over the course of the future as we scale up the business. What's really, as I mentioned before, the gain that we booked on the contribution of the IP is really contributing to the comprehensive profit for the year versus the prior loss. So that's the net profit for Agilyx. And that gives us a diluted earnings per share of a $1.12 versus a loss of $0.28 a share. And our period ending cash is $8.5 million. And I would mention there that with our cost reductions and our forecasted revenues, we believe that our cash position is strong and will get us through fiscal '24 without a problem and through well into 2025. We don't have a going concern at all and we believe that we're set up with our new structure and our cash burn to be able to be successful with our current cash balances into the next year. Next page. So just to give a summary of our focus for 2024. Of course, the great presentation that Joe gave, we're really focusing on advancing the feedstock management piece of our business. And with the successful construction of CCC1 and moving forward with CCC2 and really expanding on the successful take back programs and being prepared to provide feed for CCC1 and 2 over the course of the next year or two, we feel very good that we're setting the markets up to have a real advanced process for providing feed. And that's the impetus for the Agilyx conversion business. If we can convince our customers that the feed is available and programs, such as Cyclyx, is really going to help us to give confidence in the Agilyx conversion business as well. And we're working with our customers to identify innovative ways to fund projects. And that seems to be the biggest hurdle that a lot of our customers have presented that, in this market, it's tough to come up with the funding. And so we're working with them on different programs, grants and especially here in the US, the government is providing real good grant opportunities and loan opportunities to move these new technology projects to reduce the footprint of waste in the country. So we're working with our customers on that. We're continuing to develop the relationship with Technip's global partnerships and we're kicking off some new initiatives in India and Taiwan, which is, we're really starting to advertise the partnership in those countries where we see a lot of demand for styrene projects. So we're going to continue to work that and continue to manage our cash flow and to ensure that our cost basis ensures that we have the cash to be successful over the next 12 months. And with that, I'll turn it over to Jan to give some final comments.
Jan Secher: Thanks, Russ. So you can actually go back to the other one for just for a second, and to Joe for a very good presentations. I think I hope you share -- agree with me that this is very exciting on both, on the waste management and the Cyclyx side of the business. I think this just demonstrates the insight and the capabilities that this organization has built up over two decades now and really demonstrated by the commitment from the two giants in the market really with ExxonMobil and LyondellBasell. And as you rightfully point out, Russ, I mean, we've been able to monetize some of that value, but still staying very much invested and engaged in the further value creation that we are certainly very convinced that the Cyclyx is going to generate, and just sort of an appetizer to see that on that slide that Joe showed in terms of the potential financials of that. Still early days there, of course. So the -- but in the order of magnitude is very, very exciting. And at the same time, despite the -- bit of a headwind in the overall chemical market, I think we're making very good and interesting progress with the commercial technology, as you pointed out, Russ. Good pipeline and I think perhaps a bit underestimated or undervalued is that the significance of the FEL3 developments during 2000 and of 2023, it's obvious with the Toyo installation that's very tangible, but the FEL3 developments on the two projects there, that serves as a base for a totally different dialog with our customers around potential projects. So that that should not be underestimated when you look at the overall achievements from the last year and then, obviously, setting the focus for '24 and onwards. Before going into the Q&A, just wanted to mention that later on today, we will issue the papers for the AGM coming up in May. And in there, you will notice that I will not stand for reelection as a Chair. Very excited and happy about the fact that Peter Norris has accepted to be nominated to be elected Chairman for Agilyx going forward. This is by no means a reflection of any lack of confidence and commitment from my side to the business. I simply have a few priorities that I needed to attend to in my prior --- in my portfolio, so to speak, of activities and this was a necessary decision from my side, which I feel very sorry about, but that's where we are. And I just wanted to mention that before we go into the Q&A, because you will see this in the information that we will submit later on today. So with that, handing back to -- well, opening up rather to Q&A. We don't have anyone really facilitating this today. I think, Russ, I see that Adam is raising his hand. So why don't we just go straight into it and manage it as we go along? Go ahead, Adam.
Q - Adam Forsyth: Actually, two similar questions, perhaps one for Joe, one for Russ. The first one for Joe on CCC1. Any major learnings as you go forward with the next set of centers, particularly on things such as permitting and zoning? You know presumably, you've now got a process in place. Do you think we can see accelerated timescales as a result of that?
Russ Main: We do get asked this. So our zoning and permitting is fairly light. We are a light industrial permitted activity. The timing of the construction is pretty light also. Most of -- with the exception of some concrete reinforcement for the most part, we're just mobilizing equipment, off the shelf equipment. So from that perspective, the longest lead time item tends to be the building, the facility itself. And we have chosen, at least in the short term, to go after existing warehouse space. And once we find those then we could certainly accelerate the timing of what we've experienced for one. We haven't had any permitting issues locally. So yes, I definitely could see some acceleration on the development timeline from the 18 months to something shorter.
Adam Forsyth: And then a similar question for Joe, I guess, but maybe slightly different on Tayo. Any learnings from taking through now to construction and almost commissioning? And then related to that, are we going to see any material change in the licensing model? I think, Jan mentioned a slightly different dialog, but you've also said you expect margins to remain solid. Any sort of flavor for how that might change or is it essentially going to be a cookie cutter from Toyo going forward?
Joe Vaillancourt: As far as the learnings from the Toyo project, I think we've we have learned a lot from our first commissioning deployment, the importance of the controls systems in the environment and that's where you have to finetune the controls that are embedded into the unit and how it feeds the feedstock through the [DEM] and the actual reactor itself. So we're learning how to finetune those controls, because they're very delicate and very precise. So that's something we've learned a lot in that process. And the good news is having all these learnings and document the process, we now have a good basis for when we go into construction on the next unit. And as far as on the licensing standpoint, no change to the model. The licensing is still -- with TruStyrenyx is the same and anything outside of TruStyrenyx, if we do a mixed waste plastics, BTX type license, it's still in that same process and same format that we've used in the past.
Jan Secher: I think, in addition, if I may there, Adam and Russ, I think what we have seen and learned during 2023 is also that, as you mentioned in your presentation, Russ, that it's difficult and tough sometimes for the companies, our customers, to allocate necessary capital given the circumstance that they are operating in. And as you mentioned, we are exploring different opportunities and possibilities of how to finance the protection units and the build out of the capacity. So I think it would be true to say that we're sort of augmenting, we're looking more creatively at that in order to facilitate the build out of the capacity, as I said. And just sort of a side note to the point that -- with the question to Joe, actually, on Page 3 of the presentation, you see a picture of a building with Cyclyx on top. That -- it actually almost looks like an animated or a constructive picture. It is not. That is from the real unit in Houston actually. I had the pleasure of being there in December last year. And so that, to Joe's point, looking for existing storage warehouse facilities that is actually from the CCC1 building itself. So that's not an animated picture.
Adam Forsyth: Thanks very much.
Jan Secher: Thanks Adam. Opening up for other questions. I don't see that there are any other hands raised, which I guess would be the -- means to establish if there are any further questions. And if that's not the case, I think we wrap it up by saying, first of all, big thank you for the support of our business and the belief in the conversion and the recycling of plastics as such as we've tried to really emphasize here. We have a very broad capability, which I think we're being very successful in monetizing and capitalizing on serving the industry and making sure that, plastic as material, which is a great material, also gets taken care of in a responsible way and really contributing to the solution of plastic recycling. Like I said earlier, there is no silver bullet but there's some collaboration or partnership between the different technologies and pathways that would lead to a more responsible way of dealing with this going forward. Thank you very, very much and look forward to staying in touch. Please feel free to reach out to us if you have any further questions or comments on the material that we have presented today. Thanks a lot for attending.
Russ Main: Thank you, everyone.
Joe Vaillancourt: Thank you.